Operator: Welcome to the Northeast Bank Third Quarter Fiscal Year 2023 Earnings Conference Call. My name is Olivia and I'll be your operator for today's call. This call is being recorded. With us today from the bank is Rick Wayne, President and Chief Executive Officer; JP Lapointe, Chief Financial Officer; and Pat Dignan, Executive Vice President and Chief Operating Officer. Yesterday, an investor presentation was uploaded to the bank's website which we will reference in this morning's call. The presentation can be accessed at the Investor Relations section of the northeastbank.com under Events and Presentations. You may find it helpful to download this investor presentation and follow along during the call. Also, this call will be available for replay purpose on the website for future use. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. Please note that this presentation contains forward-looking statements about Northeast Bank. Forward-looking statements are based upon the current expectations of Northeast Bank's management and are subject to risks and uncertainties. Actual results may differ materially from those discussed in the forward-looking statements. Northeast Bank does not understand any obligation to update any forward-looking statements. I will now turn the call over to Rick Wayne. Mr. Wayne, you may begin.
Rick Wayne: Thank you, Olivia. Good morning to all of you on the call. Before we talk about the specifics of our results for the quarter that just ended, I wanted to just make a few comments in light of the recent failures of Silicon Valley Bank and Signature Bank as kind of the main points that are out there. One, I want to talk about our deposits first. We have $2.13 billion [ph] of deposits at March 31 and this is important of which 92% are insured and 3% of our deposits relating to hold back accounts are in restricted accounts. So we only have 5% of our deposits that are uninsured and at risk, not that anything is going on with that but we're just uninsured and not in restricted accounts. As soon as the news broke around those 2 banks, we contacted all of our deposit customers in descending order based on balance to offer full insurance on the deposits through IntraPi which is formerly commentary. And in some of our -- most of the customers either had or took us up on that. And then, if we look at the deposits quarter-to-quarter. Our deposits decreased by $106 million from 12/31 to March 31. But of that $100 million were broker deposits which we paid off. So really no change. There's no really no -- none of our customers are thinking about taking their deposits out now, something we are obviously pleased with and proud of. Second issue that I want to compare our bank with what happened to some of the other two. Those banks wound up having a mismatch between their deposits and their investment portfolio and investment in longer-duration treasury. So they didn't have credit risk but they had interest rate risk. In our case, we've had a different approach which is to only invest in 1-year or 2-year agencies, our investment portfolio has a weighted duration of 13 months. And currently, the unrealized losses only $860,000 pretax with $620,000 after tax. So to sum up those points, our deposits have remained sticky and we do not have any meaningful losses only any at all in our investment portfolio. I don't want to compare us as I have. Second thing, I now want to go through some of the financial highlights on Page 3. And we have a very fulsome slide deck that we post another highlight certain pages and then, of course, answer any questions that you might have. First, is just some basic stats; it was really a great quarter. Our net income was $12.5 million which excluding those quarters in which we had sold PPP loans and had gains from those. That is a record quarter of net income for us. That's $1.69 fully diluted earnings per share, a return on equity of 18.5%. It's a very big number, 18.5% and the comparable ROA of 1.8%. Our tangible book value at the end of the quarter was $37.02 growing a little bit less than $2 from the December 31 quarter. We also sold 160,000 shares of stock under our ATM at the market offering at an average price of $42.78. And finally, our low volume was purchased and originated $144.5 million. Turning to Slide 6. I do want to talk about what we saw for activity and volume in the quarter that just ended. First, with respect to purchase loans, we purchased $21.5 million of loans which is certainly much lower than the preceding quarter where we had very large purchases of around $1 billion. But the first calendar quarter March 31, third fiscal quarter, it is not -- is commonly a low volume quarter. If you look at going back a year, we have that, it was $23.9 million a year ago. Now occasionally, it's higher. But we did see less volume in that quarter. And our originated loan book was -- we originated $117 million which was also lower combination of seeing less [ph] request and also being more selective, I say more so, I think, because we're all selective but just being even more so now. So you can see that -- of course, $144 million is still a very good number. It's not as strong as in the preceding quarters. If we go to Slide 7, you can see the distribution of our portfolio and I want to just point out that only 13% of the portfolio are loans that are more than $15 million and 9% are loans between $10.5 million which moves at 78% of our portfolio [ph] loans lost $10 million or less. And again, we have a concentration in New York at 35%, 30% in California and 5% in Florida. So that's 70% in those 3 states. And then you can see on the chart, the rest of them, we're in 44 states. Sometimes this is just a contact in the last few states, so we're not in and it's all because we haven't had an opportunity but in case you were wondering, it's Hawaii, Montana, North and South Dakota, Tennessee and Vermont. Other than that, we are in all of the other states, excluding those. If we move to Slide 8, these are asset quality metrics and place is quite strong. You can see that at the end of the quarter, the ratio of nonperforming loans to total loans is only 58 basis points which if we go back to June 30, '21, it was 180 basis points. So two things are occurring; the numbers are only up a little bit but on a much bigger balance sheet, so we're seeing the benefit of that. Turning to Slide 15 with a few comments about our deposit costs and our deposits on Slide 15 and 16. I think I want to highlight one, the average cost of deposits for the quarter was 3.23 [ph] and the spot rate, that is to say the rate on March 31 was 3.35 [ph]. And it's not on this slide but the spot rate at December 31 was 3.03 [ph], so it's kind of 32 basis points in the quarter. On Slide 16, we break out of the source of the deposits by channel and the rates. First, I want to highlight that if we were to aggregate builds in the banking center which is $615 million, I'm doing some rounding to our national lending customers which is $61 million [ph] banking which was $35 million and the holdback which will primarily reserve accounts. That is a total of $776 million out of $2.13 billion or 36%. I highlight these because these have lower rates a weighted average rate of 1.38 [ph] but the balance of the deposits, the 64% are in higher rate products and what we are focusing -- and I should say have a weighted average rate of 4.51% [ph]. I would point out that as those roll over; the increase won't be nearly as much as it has been in the past as we have added those in our funding. If we go to Slide 19 and we take a look at our revenue compared to our expenses, the revenue was $33.4 million for the quarter which increased $3.3 million from the -- from December 31 but expenses remain reasonably flat. They only went up $100,000 quarter-to-quarter. So that's obviously a good thing if we can grow revenue that much and manage our expenses. If we go to Slide 21, you can see that we have a discount on the purchase loans of a shade under $190 million of which 166.5% is accretable which we've been through [ph] time and the non-accretable portion of $23 million, we recognized when a loan pays off. That's a lot of discount on our books, a lot of income that will be going in over time. And then if we go to Slide 24 and look at our net income for the quarter which was $12.5 17 million. I mentioned that, that was the highest amount of net income if we exclude those 3 quarters where we had gains from the sale of PPP. And if we go to Slide 25 and we look at first, the blue bar in the first -- on the left side of the page, you can see that our base net interest income was $29 million. So that doesn't include transactional income. And that number all is higher than total net interest income for each of the preceding quarters. And so we're really seeing the benefit of a larger loan book as a result mostly from the purchases that we made in the fourth quarter that the income -- the impact that's happening on our state [ph]. Those are the comments that I have. I should mention that JP Lapointe, our Chief Financial Officer, is here with me and Pat Dignan, our Chief Operating Officer and Chief Credit Officer, he's double Chief. So we're all here to answer any questions that you might have.
Operator: [Operator Instructions] And I'm showing Alex Twerdahl from Piper Sandler.
Alex Twerdahl: A couple of questions here for you guys. First off, just on that almost $190 million of discount. Can you talk a little bit about the sort of the life of the portfolio there and what you saw this quarter in terms of early pay downs and maybe talk about whether or not it was expected or unexpected would happen this quarter? And just I know it's incredibly hard to predict and very choppy the accelerated portion of those of that accretable income but any thoughts around whether or not this quarter was typical or if it was maybe light or heavy?
Rick Wayne: Well, this quarter, I'm still on [indiscernible] in the second but first on the purchased portfolio -- were generally slower. The rates are -- a lot of the loans that we have purchased particularly in one of the pools list quarter was $700 million PPP and $600 million [ph] on the discount there, I would have described those as and were when originated were typically 5-year loans had a low by today's standard fixed rate over the first 5 years and then going to slowing after that which some of them already are floating and others are going in. But the paydowns were that is great as they had been, I would say, historically, those understandable reason, if you have a loan rate and you have still term left on it, that would be fixed, unless there was a life of it of some sort, selling the real estate or if it was owner occupied selling the business and the real estate or someone died or otherwise had to deal with that or they wanted to take on more money because they have very low LTVs on that in the low 30s, we wouldn't be as inclined to pay it off. So I think there was lower than that and also lower in our -- I can put a number on that on Slide 5 now that I'm looking at the purchase runoff was $44 million kind of $1.5 billion [ph] loan book. I'll come back to the origination for a second. But your -- so the answer it more of your question, that -- those loans have a lot of them, have a long duration. Those going out 15 years in a lot of cases. And so we like to buy loans like that because you get a lot of discount not to the credit through the interest rate and if they do pay off, you pick up, out of income. It started off at a slow start; that really was surprising to us in the environmental about our expectation is that, that will pick up. In one of the previous calls, Alex, you had asked about what our yield on the return on the purchase book was under 8%. We think it was going to wind up at that time. I said I thought it would be at least 8 for the year. And I suspect it will be pretty close to that. We'll see what happens in the fourth quarter. And with respect to the originated book, that also the pay down right, you have the numbers on the originated [indiscernible] we originated 117, thank you. JP pointed it was right in front of me. So we originated 117. We had $86 million of one-off. So our while our origination amount of 117 [ph] was lower than previous quarters, it still grew that only both originated loan book as the paydowns were less. It cuts on a lot. Is it more than that [ph]?
Alex Twerdahl: I think that's good for that part of the question. I want to talk about the purchase market. I'm curious if what you're seeing in terms of the loans, I know that a lot of the purchases you did last year -- last calendar year were driven by interest rates. And I'm curious if what you're still seeing is largely driven by rates or if there's some that's starting to be driven by credit quality that's coming into the purchased, I guess, available-for-sale portfolio market.
Rick Wayne: Pat, do you want to comment on that?
Patrick Dignan: The first calendar quarter is typically a lowest quarter in the purchase market. And there's been -- there's been a fair amount of activity. Obviously, there was a lot involved with both Signature and ABB [ph]. Otherwise, we haven't seen too much yet on the distress side, not that that's really our wheelhouse anyway but there continues to be -- most of the stuff we've seen has been mergers or most of the mergers so we'll see. There is talk of [indiscernible] to come and we're certainly seeing some activity but it's not the big shoe to drop that everybody is looking forward.
Rick Wayne: I have some numbers that I think might be helpful to answer this question. We put together funnel report on purchase market to see what we looked at and what we round up line. And so we saw last quarter, 20 pools of loans for $970 million UPP. And out of those, there was almost $300 million of loans that we call that we just do any further work on that you've crossed out because of either performance, undesirable collateral or there were underwriting issues for us but we couldn't get what we needed. And so there were $674 million after that that we took a closer look at. And out of those $645 million, we did that to further work on 1 because either undesirable collateral; two, the yield did not meet our pricing expectations; or three; a seller withdrew the assets for sale. So then that left us with $29 million or [indiscernible] pools with relationships that we bid on and out of that, we -- out of that I should say $5.4 million we've lost on our bid because of our -- we couldn't get to the yield that we needed and we went up with a UPB of $24 million for 44 loans. So we started out at $970 million and we end up closing -- I mean, 24 million of those and the biggest chunks were -- all haven't operated people, I just said that -- and that's what happened with the purchase market.
Patrick Dignan: That's not an atypical volume for the market. It's a big market and our piece of it. Rick touched on an [indiscernible] that right now, there's significant disagreement in the market or what value means. And so there's a fair number of deals pull from the market.
Alex Twerdahl: Got it. Now it's obviously the FDIC has been public with their intent to sell a huge portfolio of loans coming out of Signature Bank over the summer. And I'm sure that you guys will be taking a look at that to some extent. One question I had is, as I kind of go through the FDIC's website and look at historical auctions, there's a lot of situations where the FDIC is partnered with various banks and funds and sort of a structured transaction model. I'm curious if that's something that would be of any appeal to you or if it's really just bringing it on balance sheet that makes the most sense.
Rick Wayne: I think the relations -- I'm sure you know that point out. Historically, the structure -- but being a general structure, we know that this will be in new markets acting a wholesale adviser to the FDC. But if this is a structured transactions, the ones historically what they've done is they put them out for a bit. And then the highest bid is the value and then the FDIC transfers those loans at that value into that entity and then it provides some percentage of financing just to put some numbers to that. There's an $18 billion portfolio in that family laws and [indiscernible] numbers for explanation. I have no idea what the numbers will be. But let's say, it's traded from $0.50. So the FDIC would transfer all our loans into an LLC with a $9 billion value. They would then provide financing for half of that or $4.5 billion and that of the remaining $4.5 billion, the equity portion, it might sell a portion, maybe 20% of that to a buyer. And so it would be -- in my model, that would be $900 million check as we go to it and the buyer would own a 20% interest in that LLC. And then there's some other structuring points as typically there's been a third-party servicer and there's been a promote in it. We will early look at it when it comes out with this and we understand what they've done in the past but a lot of unknowns as you make this will look like and a lot of those loans had Signature was a very big multi-family lender and a lot of those in the New York or loans that have the properties that have rent stabilization or might have a tax abatement on the Section 421A as soon as the figure out there.
Alex Twerdahl: Okay, a couple of more questions. One, when you talk about the LTVs, there's a lot of questions on what has happened with -- on loans. And I was wondering, Pat, if you could give a little bit of color, or Rick. When you talk about LTVs, exactly what that means, if that's the -- is that your V, your value that you put in the property and kind of the stress tests that go into just to making sure that the credit is sound.
Rick Wayne: So the -- let me just start and Pat can add to it. So the purposes of the debt and we say this in the deck, in the case of purchase loans, we used the calculation of the current balance and we compare that with the valuation at the time that the loan was originated and because a lot of these loans, if we go to page [indiscernible]. And you can see that out of our $1.460 billion total, $440 million [ph]. Let me say it differently, about $1 billion was originated before in 2019 and the paydowns have been fairly meaningful. So we think that that's a pretty safe number for that. And then $440 million was 2019 or later. But that's the way we do that calculation. We don't order a new appraisal when we purchase a loan but our real estate group makes a determination as to what the value is but we're using the appraised value at that time. And the case of our originated loan portfolio which for the most part, has been originated reasonably. Currently, we use the value. We use is when the appraisal was done and for the most part, it was 18 months [ph], you raised a fair point about values going down since we're very -- just to be clear, we were exclusive as to how we do with calculation in the deck. One of the things we will be taking a look at and we will update calls for this in the future to the extent there's a meaningful change in values with that as well [ph]. Pat, do you have anything to add?
Patrick Dignan: No, I think you've got it. Well, maybe just that we frequently update. We look at valuations quarterly and we do a lot of stress testing on values, where the cap rates are moving up and expenses are moving up and it's a lot of factors that influence value. And so -- and it's kind of a moving target right now. And we're constantly rolling up our own portfolio. And so we expect there will be some movement on the valuations. But historically, we've taken a relatively conservative approach.
Alex Twerdahl: Okay. And then I just have a few more questions. One on the deposits. And can you talk a little bit about the laddering in the deposits, the broker deposits that you put on, along with the purchases last quarter. And really, what I'm trying to get at is whether or not the bulk of the deposit repricing has already happened. And as that portfolio amortizes or pays off, potentially, there's not a lot more in terms of deposit repricing higher that we could see?
JP Lapointe: Alex, the majority of the deposits that we put on last quarter for the purchases, especially the big one were 6, 9, 12 months. So of that purchase what we funded with broker deposits, about 50% was 6 months which would mature in June. 25% was 9 months and 25% was 12 months, so September and December maturities are those. We did have some other brokered deposits that we took out last quarter with shorter terms but primarily the bulk of it, almost $350 million that we did there was 6, 9 and 12 months.
Rick Wayne: Alex's question is also the weighted average rate on those deposits and what we would replace them when they mature in this calendar year.JP?
JP Lapointe: Right now, the broker market is a place with brokered deposits. It's around 5 right now. However, then these mature, it could be anywhere that broker market jumped up in March given everything that went on in the profit front. So depending on what the Fed outlook is and when each of these sets of deposits are such mature, it could be 5 or hopefully lower than that when they go to revolver.
Rick Wayne: And the weighted average rate of the...
JP Lapointe: Brokered [ph] on at March 31 is 4.7.
Rick Wayne: 4.7?
JP Lapointe: 4.47.
Rick Wayne: Okay. So we have, Alex, those that are maturing, maybe -- and that would be about 50 basis points of increase if we had to replace some today at 5.
Alex Twerdahl: Okay. And then on expenses, expense control, as I was certainly better than I had modeled given the large increase in the balance sheet. Can you talk about expectations for the next couple of quarters?
Rick Wayne: Yes. Well, first, there were -- they were higher in card, one because of the increase in deposit insurance and that's about -- what is that?
JP Lapointe: 345.
Rick Wayne: $345,000 for that. And then we had some higher professional fees in their -- in the next quarter, I think it will be higher most likely because we have incentive comp that we true up in the fourth quarter. And so there could be more for that for all of our employees. But I think kind of on that on a run rate what you're seeing in the third quarter is more or less about what we would expect; that was -- the banning with people and have been a few more might be $14 million maybe -- now that the balance sheet is [indiscernible]. Other than that I was saying in the fourth quarter, it kind of would be that plus what goes in their predation.
Alex Twerdahl: Got it. And then my final question, just noticed some gain on sale of the SBA loans in the -- in this first quarter or third quarter for you guys. I know you've been working on rolling out some new products with the private equity partners that did the PPP with. Is this -- can you give us any update on that partnership in that program? And are we starting to see a little bit of that come through on the income statement?
Rick Wayne: Yes. The group is not where we have a 5-year exclusive marketing agreement with that they've been going to market initially trying to get the PPP loans of $115,000 [ph] that were on loan source but the loans are to market to them a small balance [indiscernible]; a lot of them under 25,000 and then more to $250. They kind of averaging about $75,000 a long summer at the 25 and some are bigger. It looks like they're only now at a rate of $4 million, where we sit today, $3 million to $4 million a month. So it's improved a lot. It's not where we think it can get to, or I should be [indiscernible]. No, I'm not going to read the forward statement. But so on the amount, we'll see what happens. It will slow [indiscernible] momentum now. The technology has improved dramatically; the marketing has improved a lot as well. And so what that represents is the loans that we sold in the March 31 quarter, I would expect that the June 30 quarter [indiscernible] small lot higher, let's say and very round numbers a gain on those so for -- it's about 10% as a little bit more maybe 11%. I think that's probably a good average to use. If they do, say, they think $4 million a month, that's -- that's $12 million a quarter and our share of that's about $600,000. And then we wanted up holding on our balance sheet. The part that is the guarantee part that's guaranteed part of the loan, it's not so -- and if there are any losses, we eat half of them.
Alex Twerdahl: Okay, that's all my questions for now. Thank you for taking them.
Operator: And we have no further questions at this time. Now, I will turn the call back over to Mr. Rick Wayne for any closing remarks.
Rick Wayne: Thank you very much for that and thank you all for listening; and Alex, for your excellent questions. We look forward to talking to you again after the end of our fourth fiscal quarter June 30 and we'll be reporting both on that quarter and on the year. And thank you and wish you all a great day.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.